Operator: Good day ladies and gentlemen and welcome to the Halliburton fourth quarter 2007 earnings conference call. At this time, all participants are in a listen only mode. Later we will conduct a question and answer session and instructions will follow at that time. If anyone should require assistance during the conference, please press star then zero on your touchtone telephone. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Christian Garcia, you may begin.
Christian Garcia: Good morning and welcome to the Halliburton fourth quarter 2007 conference call. Today’s c all is being webcast and the replay will be available on Halliburton’s website for seven days. A podcast download will also be available. The press release announcing the fourth quarter results is available on the Halliburton website. Joining me today are Dave Lesar, CEO, Mark McCollum, CFO and Tim Probert, Executive Vice President Strategy and Corporate Development. In today’s call Dave will provide opening remarks, Mark will discuss our overall financial performance, followed by Tim who will provide comments on our operations and business outlook. We will welcome questions after we complete our prepared remarks. Before turning the call over to Dave I’d like to remind our audience that some of today’s comments may include forward looking statements reflecting Halliburton’s views about future events and their potential impact on performance. These matters involved risks and uncertainties that could impact operations and financial results and cause our actual results to differ from our forward looking statements. These risks are discussed in Halliburton’s form 10K for the year ended December 31, 2006, our form 10Q for the quarter ended September 30, 2007 and recent current reports on form 8K. In addition, please refer to the table in the Halliburton press release that reconciles past reported results to adjusted results for the non GAAP disclosure. Now I’ll turn the call over to Dave. Dave.
Dave Lesar: Thank you Christian and good morning everyone. As usual we have a lot of moving pieces to discuss this morning. Let me begin with a few highlights from our results for the year before discussing our fourth quarter performance. For 2007, our total revenues grew 18% to a record level of $15.3 billion with all product lines registering double digit growth. The western hemisphere grew 12% to almost $9 billion and was hampered by year over year declines in Canada. Overall we had a good performance given a challenging environment in North America. Consistent with our strategy, the eastern hemisphere grew 27% in 2007 to over $6 billion in revenue. In the year we focused our investments and resources into growing targeted geographies and our results reflect the successful execution of this strategy. More importantly, in the fourth quarter the eastern hemisphere is now over 43% of our revenue and 55% of our revenue is now from outside North America. We of course still value our North America franchise, but these results exhibit and improving global balance in our portfolio. For the fourth quarter, total revenue reached a record $4.2 billion which represents a sequential increase of 6% compared to the third quarter. Operating income was essentially flat from the third quarter due to the impact of two special items, a $34 million impairment charge associated with a legacy oil and gas property in Bangladesh and $12 million of executive separation costs. Mark will provide more details regarding these items. The strong sequential revenue growth in the quarter was led by our eastern hemisphere business. Eastern hemisphere revenues for the quarter grew an impressive 12% sequentially which is evidence of the success of our continuing investments in infrastructure, people and capital. Operating income did not grow as fast as revenue as the revenue increase in the eastern hemisphere. This is due to the fact and the impact of the impairment charge from the oil and gas property and other costs that we incurred associated with our continued ramp up of our eastern hemisphere infrastructure, such as facilities, training, technology deployment and of course adding and hiring people. Excluding the impairment charge for the oil and gas property, eastern hemisphere margins were nearly 23% in Q4. Now turning to North America where I know there’s a lot of interest. Revenue grew 1% sequentially as we saw recovering in the Gulf coast and modest seasonal increase in Canadian activity. However, our Canadian business is down year over year and we are not planning on a recovery in Canada in 2008. Our US land revenue was impacted by normal seasonal drilling restrictions on our customers and also our customers extending the holiday season on the Rockies, both of which had an impact on our fracturing business. Also in the late fourth quarter and even into the early first quarter, due to weather delays and pipeline access issues, a number of our customers delayed the completing and fracturing of a number of wells that they had already drilled. For example, one of our largest customers in the Rockies delayed completing and fracing over 100 wells that we are now starting to service in the late first and second quarters of 2008. We saw price declines for our frac service in the fourth quarter in the low to mid single digits which were consistent with our expectations discussed in the third quarter conference call. The effects of the winter season and price declines have largely been offset by the growth of sperry and our drill bits businesses. Consistent with our strategy, we are focused on balancing our US operations by capitalizing on the trend toward more horizontal drilling. Tim will talk about this in a bit. Now let me talk about the results of the contract rollover process for our US fracturing business in the fourth quarter and the impact this will have for the first quarter in 2008. We have successfully renegotiated all contracts that were up for renewal in Q4. Our US land fracturing work is now a little over 70% under contract for 2008. In the fourth quarter rollovers represented about half of that business. The remaining contracts will rollover in the first half of 2008. Given the price erosion that we saw in the transactional market, we have concentrated on matching our equipment with our customer’s major assets that fall under longer term contracts where we expect to receive better utilization in margins. For the contracts we rolled over in the fourth quarter, we believe we grew our market share with these customers and in some cases where we were unsuccessful retaining the work, we have now been contacted by some customers to see if we can serve them again. But based on the price levels that were negotiated, we anticipate seeing an average price decline for US land fracturing work in the mid to upper single digits for the first quarter of 2008 relative to the fourth quarter of 2007. However asset utilization for our fracing equipment remains very high as we continue to see increasing demand for our customer given the secular trend towards production from unconventional plays. This has translated to higher service intensity and we believe this will continue to drive volume increases in the technologically driven segment of the market, even if national gas prices only support a flat rig environment. This trend coupled with signs of decelerating capital additions indicates to us that pricing should stabilize sometime in the second half of the year, although we may possibly see some additional pricing deterioration of a couple percentage points in the early part of 2008. We’ve discussed in the previous call that we have been seeing pricing declines in other service lines like cementing, wire-line and drilling fluids. These declines continued to be modest relative to what we’ve experienced in our fracturing business. We believe our ability to offer multiple product lines to our customers helps to mitigate the impact of pricing pressures on our frac business. Now let me turn the call over to Mark and he’ll give a few more highlights.
Mark McCollum: Thanks Dave. I’ll be comparing our fourth quarter results sequentially to the third quarter. Halliburton’s revenue in the fourth quarter was $4.2 billion, up $251 million or 6% from the third quarter. All regions and both divisions posted revenue increases led by strength in the Middle East and Europe. Operating income decreased by only $3 million from the third quarter. Remember fourth quarter operating income included charges for the oil and gas impairment and executive separation costs and third quarter operating income included $32 million in charges for environmental matters. Operating income margins declined by 150 basis points in part due to these special items but also due to seasonal slowdowns and price declines in our US fracturing business. Now I’ll highlight the segment results. Completion and production revenue increased $102 million or 5% from the third quarter, while operating income declined $25 million or 4% from the third quarter. Completion and production’s revenue growth came from both completion tools and cementing while the production enhancement product line saw relatively flat revenue quarter over quarter. Looking at completion and production on a geographic basis, the Europe Africa CIS region posted a revenue increase of 16% but a 2% decrease in operating income. Completion tools saw increased revenue throughout the region, including strong demand for our intelligent well completion services, but they experienced less favorable product mix in Africa. Production enhancement benefitted from improved stimulation vessel utilization in both the North Sea and Africa and strong activity in the Caspian. In the Middle East Asia region, completion and production revenue improved 13% and operating income improved 18% over the third quarter. Our completion tools product line benefitted from increased well dynamics shipments. Production enhancement also improved activity in both Saudi Arabia and Oman. In North America, completion and production revenue declined 2% and operating income fell 13%. As Dave mentioned, US results were affected primarily by seasonality but also by declines in the US land fracturing pricing. This was partially offset by better activity for both cementing and production enhancement in the Gulf of Mexico and increased production enhancement activity in Canada. In Latin America, completion and production revenue increased 6% and operating income increased by 41%, despite the negative impact of the floods in Mexico. Completion tools had a strong increase in Brazil as it began work under its recent four year contract award providing testing services to Petrobras in high pressure, high temperature and deep water environments. Cementing experienced improved activity throughout the region, especially in Mexico. In our drilling and evaluation division, revenue increased $149 million or 9% and operating income increased $31 million or 8% over the third quarter. Wire-line and perforating, landmark and security DBS contributed meaningfully to the fourth quarter income growth. Baroids fourth quarter results also improved as the third quarter was negatively impacted by a $24 million environmental charge. Operating income for sperry was negatively impacted by increased startup costs for new projects and a less favorable product mix. We expect to return the growth trend in sperry’s profitability in the first quarter. In the Europe Africa CIS region, drilling and evaluation revenue improved by 12% while operating income was essentially flat. Revenue growth was driven by wire-line and baroid activity in Europe and increased landmark activity throughout the region. As previously mentioned, operating income was negatively impacted by increased startup costs for new projects for sperry and a less favorable product mix. Drilling and evaluation revenue in the Middle East Asia region improved by 7% and operating income was negatively impacted by the $34 million impairment charges. These charges were related to our 25% non-operating interest in the [magnima] prospect located in Bangladesh where drilling activity resulted in a dry hole in December. In addition to this prospect, the operator is currently drilling a well in the adjacent [hotia] field. We expect to know the results of the [hotia] drilling activity by the end of the first quarter and depending on the results, we could incur and additional impairment charge. Operationally, landmark experienced its traditionally strong fourth quarter performance throughout the region. Wire-line had improved Middle East activity during the fourth quarter and security experienced higher sales volumes in Asia Pacific. In North America, drilling and evaluation revenues increased 7% and operating income increased by 47% as compared to the third quarter. Increased operating income was the result of the exceptional performance from sperry, security and landmark in the United States and improved profitability for baroid following the third quarter which was negatively impacted by the environmental charge. The US continues to see strong performance across the product lines. Canada also experienced some quarter over quarter revenue improvement within this division as compared to the third quarter, driven by activity growth for both baroid and wire-line. Drilling and evaluations Latin America revenue improved 8% and operarting income improved 4% from the third quarter. This improvement was primarily driven by seasonally strong landmark sales and services throughout Latin America and wire-line with solid performance in Mexico, Columbia and Argentina. These improvements were partially offset by lower activity for baroid in Venezuela and Mexico. Now I’ll address some additional financial items. Corporate expenses for the fourth quarter were $67 million which included approximately $12 million of executive separation cost. The fourth quarter effective tax rate for continuing operations was 24%. Our tax rate decline throughout 2007 as our international operations continues to make up a greater percentage of our operating income quarter after quarter. Our fourth quarter rate was also favorably impacted by foreign tax credits that we had not previously thought could be fully utilized. During the fourth quarter we repurchased approximately 2 million common shares at an average price of $36.26 per share for a total cost of $67 million. Since the inception of the repurchase program in 2006, we have repurchased 79 million shares at a total cost of $2.7 billion or an average share price of $33.91. We currently have $2.3 billion remaining under our share repurchase authorization. In the second half of the year, we slowed the pace of our repurchases partly in response to an increase in potential acquisitions opportunities and improved valuations. We will continue to re-evaluate the allocation of our cash between acquisitions and stock buybacks as market conditions change in order to provide good return for our shareholders. Given our stock’s current trading range, we anticipate increasing the pace of our repurchases in the first quarter of 2008. I’d also like to provide some financial guidance related to 2008. We anticipate that corporate expenses will range between $65-$67 million per quarter during 2008. We currently expect the normalized 2008 effective tax rate to fall in the range of 30-32% as the percentage of our international earnings continues to increase. Additionally, we have the opportunity to benefit additional prior year foreign tax credits as our international earnings grow and we can support the recognition of these credits. This could cause our 2008 effective tax rate to be even lower. We expect depreciation and amortization to be approximately $170-$175 million per quarter or about $700 million during 2008. And finally our capital expenditures should remain in the range of $1.7-$1.8 billion for the full year. Tim.
Tim Probert: Thanks Mark and good morning everyone. Dave provided some insights into North America but let me add a few more thoughts on the secular trends that have positive overtones for our business. The industry saw over 35% growth in rigs used in horizontal drilling in 2007. Our customers are increasingly using multiple zone completions which have led to larger frac jobs, not only for these horizontal wells but also for an increasing number of vertical tight gas completions. Production responses have dictated more stages, higher horse power and larger volumes. Overall our horsepower for frac jobbing increase in excess of 10% in 2007 with a corresponding increase in revenue for well. These factors give us some confidence that were signs of capacity additions abating and modest activity increases. Pricing will stabilize in the second half of the year. In addition we’ve seen success in our one Halliburton strategy to create an attractive efficiency model for our customers in the development of their large assets. For example, during this quarter we signed another sizable agreement with a major client in the [Pyonce] Basin to provide fracturing, cementing, completions and drilling fluid services, leveraged by our reservoir expertise. Growth in horizontal wells has afforded an opportunity to balance our portfolio in the US. A significant contributor to sperry’s growth has been the success of their electro-magnetic telemetry system which continues to set records for depths of operation and reliability. We expect sperry’s growth trend to continue in 2008 as we build critical mass with our easy pilot rotary steering device and our new vertical drilling tool, V-pilot. Both designed to expand the penetration of rotary steerables in less complex land environments. The growth of our completions business in the US was also favorable. New technologies such as our versaflex expandable liner, easywell swell packet technology and delta stim sleeves are helping to drive more cost effective horizontal well completions. We are of course pleased with the growth of our international business and there are several contributors which will be important for our long term outlook. Our intelligent well completions joint venture, well dynamics, completed a large number of deliveries in the fourth quarter. Well dynamics continues its leadership position in this business with revenue growing by 60% in 2007. Intelligent well completions systems enable our customers to change flow characteristics of a well while minimizing interventions and production downtime. We’re seeing great demand for these systems on land in the Middle East and in offshore markets in the North Sea and West Africa. We see this as a continued growth area for us. Our global expertise in deep water was demonstrated in our involvement in the Tupi field in Brazil, which is one of the largest finds in deep water history. Halliburton has worked with Petrobras on this field since 2003 in developing the plan the involved drilling through the massive salt formation that sits atop this reservoir. Our involvement included supplying seismic interpretation and subsurface visualization software, directional drilling and drill bits in both salt and pre-salt zones, LWD wire-line well testing and fluids sampling and high collapse casing accessories. Halliburton’s contribution was instrumental to the success of this very important project. In 2007 we experienced supply chain constraints related to drilling, evaluation and completions tools. We made first deliveries in the fourth quarter from two major manufacturing facilities in Malaysia and Singapore, further enhancing our ability to grow in the eastern hemisphere. Let me share with you some of our expectations for the first quarter and total year 2008. In addition to the pricing impact in our US frac business, it’s appropriate to remind everyone that the company’s results for the first quarter will be subject to the same types of seasonality we’ve seen in previous years. The landmark and completions businesses fall off in the first quarter as they benefit historically in the fourth quarter from customer’s year end budgets. As an example, landmark’s seasonal decline in the first quarter of 2007 was approximately $50 million in revenue. Additionally, our businesses will be impacted by weather related seasonality that occurs in the Rockies, North Sea and Russia this time of year. We see these declines as typical for our business, following the same pattern experienced in previous years. The short term outlook for North America has become a little more challenging to interpret. Consensus commodity levels will support modest increases in rig activity. The secular trends towards horizontal drilling and the high service intensity for our stimulation business coupled with some degree of rig and service deflation may well stimulate growth in the second half. Internationally, project visibility remains very good and paints a positive growth outlook for this business. The trend towards exploration and exploitation of more complex reservoirs bodes well for our portfolio mix and degree of service intensity on a per rig basis. The waiting of floating and jack up deliveries towards the second half of 2008 has prompted some discussion regarding potential project delays. This may temper the industry’s growth for the year, however this scenario simply points to a very strong outlook for 2009. We think a reasonable growth rate for our international business in 2008 is in the 20% range. Dave.
Dave Lesar: Thanks Tim. So let me summarize where we believe we are. In the eastern hemisphere we had great sequential revenue growth of 12%, annual revenue growth of 27%. Our investment in the eastern hemisphere product lines will continue. Eastern hemisphere margins are now consistently in the 20% plus range and as Tim said, we expect we will continue to follow our strategy of growing the eastern hemisphere in the 20% range and that should continue. In the western hemisphere, we see a more challenging environment, but I believe that we have the top industry management team in the western hemisphere and they will get us through it. Fracturing margins declined by the low mid to single digits in Q4 in line with what we said. We have maintained or grown market share in the frac contract rollover process. Most of our 2008 frac work will be on a contract basis as that market gives us the better returns than we see in the transaction market which we believe is giving insufficient returns today. Fracturing margins will decline by the mid to high single digits from Q4 to Q1 but we believe that pricing will stabilize in the second half of 2008 and if customers drill at the level that they have indicated to us, we may in fact experience growth in the second half of the year. So 2007 was a successful year as we executed our strategy of growing the eastern hemisphere while maintaining our strong US position amidst a tough pricing environment. I want to thank all of our employees around the world for this achievement. In 2008 we will continue to grow our already strong position in the international market while optimizing our position in the US. We strongly believe in the longevity of the current cycle and the long term structural trends favor our company’s expertise in well construction and production technologies. With that, lets open it up for questions.
Operator: Thank you. If you have a question at this time, please press the one key on your touchtone telephone. If your question has been answered or you wish to remove yourself from the queue, please press the pound key. And our first question comes from Jim Crandell from Lehman Brothers.
Jim Crandell – Lehman Brothers: Hi good morning. Dave you just announced a large Mexican IPM win, can you comment on the performance of the IPMs you’ve been involved in to date, how you see it growing as part of your business and your expectations for margins for IPM jobs relative to other parts of your business.
Dave Lesar: Hey Jim I’ll let Tim handle that one.
Tim Probert: Good morning Jim. I think the first point is that this particular award has not actually started, it will be starting during the latter part of this month and early February. You know the project management activities for us have always been an important feature of our business but I think it’s true to say that we kind of deemphasized them somewhat at a time when we were really struggling to keep up with our supply chain to provide activities to all our key customers around the globe. However, looking forward we really do see it as an important component of our business and with sort of a potential bid award list of some $3 billion just in Latin America alone over the course of the next 12-18 months, it’s clearly an important one to focus on. In terms of service work related to IPM, there’s sort of a combination of service work and pass through and that ranges from anywhere from sort of 10% to about 40% of the total revenue base and clearly with that pass through revenue towards the lower end of that range, we’re pretty comfortable that we can maintain our margins consistent with that typical of our normal service work.
Jim Crandell – Lehman Brothers: Okay and one quick follow up Tim if I could. Could you talk to the market penetration and performance of your deep reading resistivity measurement you’ve introduced last year?
Tim Probert: Yeah we’re really pleased with our deep reading resistivity measurement, we call it ADR and it continues to make good inroads into the market and we continue to build our fleet of tools to take advantage of the core from our customer base.
Operator: Our next question comes from Geoff Kieburtz from Citigroup.
Geoff Kieburtz – Citigroup: Morning. Hello? Okay, yeah can we come back to the outlook for international growth? I think Tim you phrased it as international growth of 20%. Can you give us any breakdown there? Latin America versus eastern hemisphere and maybe also give us some idea of what your expectations are for incremental margins as compared to what you achieved in ’07?
Tim Probert: I think that first of all, as we look around the globe, all of our international regions have some particularly positive outlooks for growth. Latin America looks like it’s going to be particularly strong in 2008 so we’re looking for good things there. Obviously part of that is going to be driven by the large integrated project management work which we’ve just received in Mexico. So really good outlooks around the globe for us. In terms of incremental margins, clearly we would expect to have incremental margins above the rate of growth of our revenues so north of 20%.
Geoff Kieburtz – Citigroup: So, better than 20% incremental, stronger than 20% growth in Latin America, maybe a little bit less in eastern hemisphere and what would you expect at this point ’09 might look like relative to ’08?
Tim Probert: Well you know I think one of the things that we can say about our business is that we do have a strong offshore drive to our business and when you look at the redeliveries which are anticipated, new rig deliveries or refurbs for that matter coming into the market in late 2008 and 2009, I think the 2009 really has the potential at this stage at least to be stronger than 2008.
Operator: Our next question comes from Ken Still from Credit Suisse.
Ken Still – Credit Suisse: Good morning guys. Wanted to ask about the share buyback, it was surprisingly small this quarter, fairly small last quarter, I was interested though in your comment that there may be I guess opportunities to buy things and then just generally, it seems like you guys are a little bit price sensitive on using the share buyback money to purchase shares. Could you talk about your philosophy there?
Mark McCollum: Well I think as we said in our comments, we did back down the pace of our repurchases in the second half of the year. We did as the year went on, the number of acquisition opportunities that went into our M&A funnel, as we’re evaluating this, did increase and the valuations on those improved dramatically as private equity became a less significant player in the M&A market and our industry. So as we were, and of course Chris in front of me, were evaluating the various opportunities, we felt like that holding our cash back in order to potentially take advantage of those opportunities was a wise and better investment for us. As we look forward into this year, particularly as our stock prices have fallen but also as we look ahead at some of the other financial activities that we’ll have this year, we think that it’s appropriate to be back in the market, be a bit more aggressive in terms of our share repurchases. So you should expect us to be back in the market repurchasing our shares very soon.
Ken Still – Credit Suisse: Can I get a follow up on the Mexican IPM project? Could you describe how that’s been, is that a turnkey project or is it more of a cost plus you know, how are you guys sharing the risk on that one with [Temex]?
Tim Probert: Obviously to execute these projects one has to have an access to a complete suite of services and also to rigs themselves and Halliburton has made a conscious decision not to enter into the rig market. So for us to execute these contracts typically means for us to develop and alliance with a rig provider to enable us to execute the work. So no, they’re not on a turnkey basis for us.
Operator: Our next question comes from Ole Slorer from Morgan Stanley.
Ole Slorer – Morgan Stanley: Yeah, thank you. Just again to follow up on the project management, could you give some sort of number on how large your project management business is as a percentage of the total floor in revenues and where you see it going on the two to three year view? Is this going to be an important change in your strategy to be more involved with these types of projects around the world?
Tim Probert: We typically haven’t given backlog data for our project management activities so I’m really not in a position to give you that data but I could give you a couple of data points and really what’s driving our interest I think is the overall increase in opportunity and you know the opportunity seems to be increasing and as I mentioned before there’s something like $3 billion plus of opportunities in Latin America alone as we look forward into 2008 and the first part of 2009, so it stands to reason that as our supply chain really sort of catches up with our demand that we more aggressively pursue these projects. And so they will become an important feature of our business going forward.
Ole Slorer – Morgan Stanley: And Tim I also have you down over the past few years to feel that you are in a good position to assess the risks of the projects that you are taking on.
Tim Probert: It’s something that we have been active with for a number of years. This is certainly not an isolated contract at all Ole, so we’ve just perhaps not talked about it greatly but we believe we’ve built a cadre of expertise which will serve us very well in the execution of these jobs.
Operator: Our next question comes from Dan Pickering from Tudor Pickering.
Dan Pickering – Tudor Pickering: Morning gentlemen, wanted to talk a little bit about the completion and production segment, specifically North America. Dave I wanted to clarify a comment that I heard you say, toward the end of your discussion you said pumping margins declined mid to high single digits, I just wanted to confirm that was pricing not margins correct?
Dave Lesar: Dan, that was pricing and it was fracturing, not to include cementing.
Dan Pickering – Tudor Pickering: Okay, great and so cementing is not seeing the same type of pricing declines that you’re seeing in fracturing, correct?
Dave Lesar: That is correct, it has seen some, like the other product lines are but much more modest than we’re seeing in frac.
Dan Pickering – Tudor Pickering: Okay and then as we look at the sequential impact of the contract rollovers and the impact there on margin, I’m just trying to gauge, as I looked at Q3 to Q4, we lost about 370 basis points or so of margin in the North American completion and production segment, I mean my math is getting me to about the same magnitude of decline in Q1 versus Q4. Am I in the ballpark as I think about pricing mix, Canada, et cetera?
Dave Lesar: I think, yeah Mark’s shaking his yes, so I guess that’s a pretty good ballpark Dan.
Operator: Our next question comes from Mike Urban from Deutsche Bank.
Mike Urban – Deutsche Bank: Wanted to kind of just get a more holistic view of North America overall because you certainly have a lot of different data points out there, frac pricing down, utilization up and other product lines doing well. Do you think as you look out over the course of the year and on kind of a combined company basis, obviously the margins coming down that’s just math, can you kind of hold the line on the contribution or the EBIT as you go through the year as all those things kind of offset or are we looking at a decline?
Dave Lesar: I think it’s really difficult to say at this point in time because the second and third quarters tend to be a lot of where we make our money during the year. But I think that if you look at the math on the margin compression, it would be difficult to say you can get there. However, when I talk to customers and I listen to their drilling plans and what they expect to do during the year, you can come to a different sort of conclusion. So at this point in time as I’ve said in the comments, if the customers drill to the level they say they will, then I think that we have a chance of having a positive EBITDA contribution for the year but I think it’s really too early to tell at this point in time because it will take a lot of additional drilling and volume to make up for the margin declines that we know are going to be there.
Mike Urban – Deutsche Bank: Okay and the follow up is, you mentioned an example of a successful bundling contract or agreement toward the end of last year, early this year, how much of an impact can we expect that to have? Is that an idea that you’re increasingly seeing customers be receptive to just given that the US market has traditionally been kind of an ala carte kind of market?
Dave Lesar: Well you know we’re certainly seeing that they’re being receptive. Obviously it’s something we want to lead with and typically a customer will go out to bid on an ala carte basis and it is ourselves who are going and sort of bundling together a package of services to them. So it’s really more of sort of a push approach than it is a pull approach from our customers.
Operator: Our next question comes from Scott Gill with Simmons & Company.
Scott Gill – Simmons & Company: Yes, good morning gentlemen. Mark, I guess the first question in the area of capital spending, I think on the last quarter’s conference call the guidance for ’08 was $1.5-$1.7 billion and I think I heard you say now $1.7-$1.8, could you just give us some color as to why the increase? Is it just inflation or is it more projects? I’ll leave that open to you.
Mark McCollum: Okay well I think it’s not really inflation so much as it is we just as we look ahead we see projects coming our way. The capital that’s going to be required to meet those projects is going up. We’re anticipating putting more capital into our drilling and evaluation division and particularly in our international markets, this Pemex award is an example where we will need some capital. And so, our outlook for our international growth is improving and that’s going to require tools on the ground.
Scott Gill – Simmons & Company: Do you have a [overlay] between North American and non-North America on the ’08 spending?
Mark McCollum: No we don’t.
Operator: Our next question comes from Waqar Syed from Tristone Capital.
Waqar Syed – Tristone Capital: Hi, I have a question on also the IPM project in Mexico. Could you guide us about how many rigs are involved in this project and will other rigs going to come in, are these incremental to Mexico or is it just shifting from one job to another?
Tim Probert: There’s about close to 60 wells in total that have to be drilled and that’s going to take I think approximately 17 rigs or something like that and some of the rigs are going to be indigenous already and some of them will be new.
Waqar Syed – Tristone Capital: Okay. But all these rigs, are they already working or they are kind of idle do you know in Mexico?
Tim Probert: There’s really not a lot of idle fleet at the moment in Mexico so they will be transferred over from existing PMX activities.
Waqar Syed – Tristone Capital: Okay, great, that’s all I have, thank you.
Operator: Our next question comes from Brad Handler with Wachovia.
Brad Handler – Wachovia: Thanks, good morning. Could you please, let’s come back to the cap ex, then I have a follow up on the supply chain I guess. But in terms of that cap ex, just to clarify your comments, I think Mark you made them, how much is based in a sense kind of what you anticipate winning versus in a sense what you’ve already won and need to then deliver on for ’08?
Mark McCollum: We always in doing our capital planning hold back a level of capital that we call sort of discretionary at the corporate level which is designed to anticipate potential projects that we might win during the year. And I would say a significant amount of the increase from our last guidance to this guidance relates to that discretionary capital as we see on projects that have yet to be awarded.
Brad Handler – Wachovia: Okay, that’s helpful color, I appreciate it. The follow up is a little unrelated like I said, but well dynamics, you’ve mentioned this in the past as being sort of the supply chain I guess angst, you could correct my word if you don’t like it, but it sounded like maybe there’s some resolution on that. Can you just give us an update on where you stand there?
Tim Probert: We have certainly commented on that previously and as always these things are a work in progress but we are very fortunate to have been able to transfer some talent over from Halliburton in the supply chain arena to assist with that process. So we believe that we’re seeing progress in that arena.
Operator: Our next question comes from Doug Becker with Banc of America. Doug your line is open. Try un-muting your phone. Our next question comes from Roger Read with Natixis Bleichroeder
Doug Read – Natixis Bleichroeder: Good morning gentlemen. Following up on the international margins, you know 23% on a clean basis in the fourth quarter. Clearly expecting incremental at least I guess in that region given earlier comments. Can one of you talk to sort of a long term standpoint where you think international margins could go given a fairly positive outlook for 2009, can we see international margins sustain 25% or so or does the mix of projects, these IPMS, et cetera, say that maybe something in the lower to mid 20’s is the way to look at it?
Dave Lesar: I think Roger the mid 20’s is certainly an achievable goal and something that we continue to shoot for. The opportunity environment in the eastern hemisphere is so strong today that we continue to have to expand our footprint and we have a large footprint out there but have to expand our facilities, the number of tools we have out there. We are hiring ahead of the demand that we see for the next several years so we’re bringing people on and we’re putting them into training and that always has a bit of a dampening effect on the margins. But given the customer reception to our technology and the desire for us to be involved in a big way in the eastern hemisphere in particular, I see nothing but sort of continued expansion opportunities there and I think that as long as we’re meeting the mid 20’s margins requirements and making the required capital investments, I’ll continue to do that all day long.
Doug Read – Natixis Bleichroeder: Okay thanks and then on another margin question but a little bit different. The corporate expense, the guidance there is up quite a bit over where we saw it this year, I was just wondering if there was anything in particular directing that?
Mark McCollum: I don’t know that there’s anything in particular driving that. If you recall earlier in 2007 we reclassified as we redid our segments, some additional expenses there that hadn’t historically been included in corporate, that is where we’re capturing some parts of our legacy cost when we deal with things like environmental cleanup or something like that. But I think that as you see we’re going to be investing some more in IT. This year we’re going to the next version of SAP, that’s going to drive some of the cost up, there will be some additional legal expenses that we’ll be incurring as we’re being more aggressive in protecting our intellectual property. It’s sort of across the board I think but not anything in particular.
Operator: Our next question comes from Robin Shoemaker with Bear Stearns.
Robin Shoemaker – Bear Stearns: Good morning. I wanted to probe Tim’s comment a little bit about the project delays or project slippage that was anticipated in 2006. I mean we immediately think of issues such as offshore rig availability, supply chain bottlenecks, funding of projects, what are the projects that you have in mind when you talk about delays and the principle causes.
Tim Probert: Robin there has been quite a lot of chatter about project delays and to a certain extent these have been quite normal for our business and we take them within the normal scope of our business activity. However, we do have a significant number of rigs arriving, both jack ups and floaters over the course of the next couple of years. And in fact approximately 160 over the next three years or so and so they really do have a significant impact on the overall growth potential for the business, particularly since they represent a pretty high percentage of the overall offshore fleet out there today. So delays can kind of come at the front end during the drilling phase and they can come at the back end when you’re trying to hook everything up and all we’re really just doing is I think just registering the fact that yes we do hear that there may be some potential delays and that there’s the potential that it could temper growth activities in 2008 if rigs are a little late arriving. But I think this just serves to strengthen 2009, 2010 and really sort of extend the overall cycle.
Robin Shoemaker – Bear Stearns: One very short question, on tax rate guidance of 30-32%, is it possible that you have enough unused foreign tax credits that there is a scenario in which case it could be as low as the 26% that you had this year?
Mark McCollum: Doing some quick math in my head. I think that the answer is yes, there is a scenario given the amounts that we have that it could be that low but I guess as we sit here today we don’t necessarily anticipate that. A large part of it is we’re going back in prior years because of the different tax laws, we have the ability to go further back in time to pickup foreign tax credits and as our business outlook changes, we can collect those but then you have to support that indeed you’ve got tax receipts and things that to evidence that indeed you deserve those credits and that’s part of the process that we have to go through to recognize them.
Operator: Our next question comes from Alan Laws with Merrill Lynch.
Alan Laws – Merrill Lynch: Good morning. Another question on the international side. How healthy would you say the international bid flow for projects looks right now say versus last year and are they increasing in size or are they about the same as they’ve been?
Tim Probert: There’s a very significant visibility today to the major projects which are out there in the marketplace so I think probably at least as good as we’ve ever seen it so that’s really good news. I think it’s quite correct to say also that a number of these projects are very large in nature, they require significant scope to be able to execute them and I think it’s also true to say that a number of these are fairly keenly priced because they are so large. However, because of the duration of the projects and because they tend to be technologically driven, it really gives ample time during the scope and duration of the contract to add new technologies that improve margins into those projects to essentially improve the overall margin experience during the scope of the contract.
Alan Laws – Merrill Lynch: Okay and I think it was Roger’s question on margins in the international arena, just as a clarification, were you saying that you were expecting them to remain in the sort of flat and to the 20-25% range closer to where your incrementals are I guess?
Tim Probert: You know we’ve sort of just during the scope of 2008, you know in Q1 our margins were sort of in the 19% range moving up without the impairment charge into sort of the 23% range at the end of the year. So we’ve continued to steadily move our margins and we’ll continue to try to do that into the mid 20’s as Dave had suggested.
Alan Laws – Merrill Lynch: But as you look forward, are you suggesting that these are kind of the right margins for your capital intensity of your businesses and building out people and infrastructure and that kind of thing?
Tim Probert: You know we’re always trying to push our margins as well as we can. We’ll continue to sort of drive them upwards but I think we have to respect the fact that we are in a competitive environment and that there’s probably a rate at which they tend to slow down somewhat from the increases which we’ve seen.
Operator: Our next question comes from Kurt Hallead from RBC Capital.
Kurt Hallead – RBC Capital: Hey good morning. Question I have for you is that you look at [unintelligible] growth rates at 20% for 2008. I was wondering if you could give us some general sense whether or not the ECA or Middle East, Far East, are they going to grow about the same, you think one will grow faster than the other and you know 20% could be anywhere between 20-30 obviously. Is it kind of 20-25 or 25-30 that you’re thinking for eastern hemisphere?
Tim Probert: I think we captured that on an earlier question, you know basically we’re expecting Latin America to grow slightly higher than the norm and the balance of the eastern hemisphere to grow slightly lower than that norm that we stated. So that’s probably the best guidance that we can give you at the present.
Kurt Hallead – RBC Capital: Okay so no further kind of differentiation between ECA and Middle East, Far East?
Tim Probert: Not at this time, no.
Operator: Our next question comes from Doug Becker with Banc of America.
Doug Becker – Banc of America: Thanks. Tim another IPM question. The prospects don’t look very good right now but wanted to get a little more color to gauge the contract risks, what type of cancellation provisions are normal, how often are you getting paid out of production, are there any regions that tend to have more favorable provisions?
Tim Probert: You know there’s a great variety in these kinds of contracts and it really would be very difficult for me to kind of give you a generalization except to say that we really take the risk profile very, very seriously. Bear in mind that we have an opportunity to essentially put a bunch of our capital to work not in a completely risk free environment but in a relatively low risk environment today with the demand that we have in international markets, so we’re very cautious about the degree of risk which we take on and that’s the subject of obviously tough negotiations with our potential customers.
Doug Becker – Banc of America: And then just on the offshore markets, certainly gotten some discussion today, what percent of your revenues come from the offshore market and do you have any quantification of the potential impact in the new offshore rigs and what it might mean for Halliburton over the next several years?
Tim Probert: Frankly I just can’t give you, because I don’t know, the percentage of our revenue that comes from offshore off the top of my head. But you know offshore does drive a significant amount of potential growth for us. In general we talk in terms of service intensity, an offshore rig is approximately 10 X the revenue and margin generation of an onshore rig in the US for example, so very, very important for us. And given our strong position in exploration in deep water, we’re obviously looking forward to those rigs arriving.
Operator: Our next question comes from Rob Mackenzie with FBR.
Rob Mackenzie – FBR: Thanks, question on the costs, I guess another way of thinking about incremental margins here guys, you had some pretty steep cost inflation year over year at least looking at fourth quarter numbers, recognizing there’s some moving parts obviously but how should we think about cost inflation going forward in 2008 and if you could break it down in terms of underlying core inflation in wages, materials and stuff, and separately startup costs and how we should think about that quarter on quarter going through the year.
Tim Probert: Going to deal with the latter part first. We always have startup costs in most quarters during the course of the year, however occasionally we get to a situation where we have multiple startups in the same quarter and the effect is something that’s somewhat lumpy and we highlight it for you. So we expect a continuation of those as we move into markets which we feel that we under serve today. In terms of cost inflation, yes, the most significant element of cost inflation during the course of 2008 was frankly wage inflation. And that’s probably not going to slow down a whole lot. However the good news on wage inflation is that of all the discussions that we can have with our customers, wage inflation is the one which they are generally most sympathetic to since all our customers want access to the best people. So that’s probably the best guideline I can give you with respect to inflation.
Christian Garcia: Okay we’ll take one more question.
Operator: Our final question comes from Ben Dell with Bernstein.
Ben Dell – Bernstein: I had a couple of questions just on some of your international business. Obviously progress in Iraq seems to be moving forward with some of the majors. Room to be looking at some of the projects, if they went back in would you consider going back in, in a meaningful way? And also on the M&A market, you made some comments that seemed to be fairly bullish about looking at opportunities. Are there any specific products or regions you’re particularly interest in?
Dave Lesar: I think it wouldn’t behoove us to tip our hat in terms of any direction we may be looking but it’s pretty clear that as valuations have come back and the private equity players have left the playing field that there’s a lot more attractive opportunities out there and it’s something that we’re taking a look at right now. With respect to Iraq, clearly a number of our major customers are having some discussions about going back in there. There’s clearly still security issues around going in to doing service work there and that’s impacting all the major service companies today. But certainly if our major customers decided they can go in there and we could all feel comfortable that the security situation was such that we could work in there in a safe way, we certainly would go back in there with them.
Ben Dell – Bernstein: Okay, thank you and just lastly on Angola. You didn’t make any comments around Block 31 timing or activity, do you have any follow up on that?
Tim Probert: No just simply to say that Angola is an extremely important market for us. We feel that we have a very strong market position there and we’ll obviously try and exploit that as best we can as new discoveries and new developments are undertaken.
Christian Garcia: Okay we’d like to thank everyone for their participation in the call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program, you may all disconnect. Everyone have a great day.